Operator: Good day, everyone, and welcome to the BOK Financial Corporation’s Second Quarter 2014 Financial Results Conference Call. All participants will be in a listen-only mode. (Operator Instructions) After today’s presentation, there will be an opportunity to ask questions. (Operator Instructions) Please also note, today’s event is being recorded. At this time, I would like to turn the presentation over to Joe Crivelli, Investor Relations for BOK Financial Corporation. Please proceed.
Joseph Crivelli: Good morning, everyone, and thank you for joining us to discuss BOK Financial Corporation’s second quarter 2014 financial results. Today, we’ll hear remarks about the quarter and outlook from Steve Bradshaw, CEO; Scott Grauer, EVP, Wealth Management; and Steven Nell, CFO; Dan Ellinor, COO who is unable to join today. Before we begin, I like to remind everyone that during this conference call management will make certain forward-looking statements about its outlook for 2014 and beyond. That involve risks and uncertainties. Forward-looking statements are generally preceded by word such as believes, plans, intents, expects, anticipates, or similar expressions. Forward-looking statements are protected by the Safe Harbor contained in the Private Securities Litigation Reform Act of 1995. Factors that cause actual results to differ from expectations include, but are not limited to those factors set forth in our filing with the SEC. BOK Financial is making these statements as of July 30, 2014 and assumes no obligation to publically update or revise any other forward-looking information in this conference call. I’ll now turn the call over to Steve Bradshaw.
Steven G. Bradshaw: Thanks, Joe. Good morning, everyone and thanks for joining us. I trust everyone have seen our earnings release for the second quarter, which was issued earlier this morning. We saw improved execution across the business in the second quarter. Net income for the second quarter was $75.9 million or a $1.10 per share, roughly flat with the first quarter. But keep in mind that the first quarter results reflected a one time $17.2 million pre-tax reversal of various compensation accruals, so the sequential improvements actually quite good. We saw strength in key markets. Growth opportunities come to provision and contributions from recently acquired entities. Most importantly, when we go head-to-head with competitors for new customer, we believe we are winning and gaining share. Loan growth remains strong and in fact accelerated during the second quarter. Period-end loans grew at a double-digit annualized rate and average loans for the quarter grew at just under 10%. This quarter traditional C&I customers contributed the bulk of the growth and our energy lending business, which has been flat for several quarters was up 3.2%, or nearly 13% on an annualized basis. That’s the strongest growth quarter for energy in nearly two years. Fiduciary assets were $32.7 billion at quarter end compared to $31.3 billion at March 31 and $28.3 billion from a year-ago. In the second quarter, we closed our acquisition of MBM Advisors in Houston adding $1.3 billion to their total with the balance coming from organic growth. Our fee-generating businesses all delivered outstanding growth in Q2. Brokerage and trading, which have been muted for the past several quarters grew 32% on a sequential basis. As we mentioned in our first quarter call, the investment banking business, which is a key component of this revenue line had a strong pipeline headed into Q2, and ended up having a record quarter. Scott Grauer, who leads our Wealth Management business is on the call today and will provide additional color here in a few moments. Transaction card revenue was up 8.2% sequentially and 5.2% year-over-year, as a seasonal business the year-over-year comp is really more relevant here. TransFund continues to win new business and move up market and closed our large new client in the second quarter. That business looks to be poised for continued nice year-over-year revenue growth for the balance of 2014. Fiduciary and asset management revenue was up 15% sequentially and 19% year-over-year. A full quarter’s contribution from GTRUST as well as two months contribution from the MBM acquisition made a modest contribution to the increase with the balance coming from organic growth. Again, Scott will provide some additional color here in a moment. Mortgage banking likewise was a bright spot for us this quarter with revenues of $29.3 million, up 28.4% sequentially. Some of this gain was a result of the typical seasonality in the spring buying season, especially in our footprint were home ownership is still affordable and desirable. Some other revenue increase was also due to the continued build out of our corresponded network in our home direct channel. This is our last quarter of a tough year-over-year comparison, as Q2 2013 included two months of revenue from the previous mortgage refi boom, which ended in late May of 2013 with long-term rate spike. For the balance of the year, the year-over-year comp should be quite favorable. Total operating expenses were $214.7 million, that’s up from $185.1 million in Q1. Keep in mind, first quarter was impacted by the compensation related to accrual reversals I mentioned earlier. In addition, incremental Q2 expenses due to the acquisitions of both GTRUST and MBM Advisors totaled $1.8 million. For the actual sequential increase and expenses was closer to $11 million. Part of this was due to variable expenses tied to higher revenue run rates and part of it due to consulting and data processing cost related to regulatory compliance of risk management projects. Steven Nell will discuss the expense and provide additional details on our forecast here in a moment. Turning to the loan book, we continue to have very nice sequential growth in the quarter. Commercial loans were up 3.9% or 15.7% annualized with growth primarily driven by energy, services, and wholesale retail. But we are continuing to see a lot of pay down activity as property sets change hand. We also had a nice quarter from a competitive standpoint with several big energy client wins in the quarter. The healthcare business, which past our growth for several quarters now and a flat quarter largely due to a number of large deals where the owner sole properties or move to the permanent market upon stabilization with many of these occurring right at the end of the quarter. Nevertheless, our pipeline and production activity remain strong, and we are optimistic about this business for the balance of the year. Our commercial real estate lending portfolio grew just under 1% in the second quarter or 3.6% annualized, still healthy just not the pace we saw last quarter. Multifamily posted 2.2% sequential loan growth and industrial was the strongest performer with 12.1% sequential growth. Sequential period in loan growth was 2.7% or just over 10% annualized. The residential mortgage portfolio was down slightly quarter-on-quarter and total consumer loans were up 5%, due to increased activity in our private banking segments. As we noted in the last quarters call, the Oklahoma pipeline was very strong headed into Q2 and we were able to capitalize on that with the Oklahoma market driving the majority of our growth in the second quarter. In fact, our $349 million of loan growth, $317 million was from Oklahoma. And I think this slide gives a nice picture of the diversity of our footprint and the benefit we get from our exposure to some of the best growth markets in the country. If you remember last quarter, our best performing markets were Texas, Colorado, and Arizona. In Q2, two of those markets were actually down, the Oklahoma, and New Mexico have picked up the pace. Loan yields net of allowance were down 4 basis points, reflecting continued competitive pressure combined with mix shift in the consumer portfolio to our private banking clients really qualified for lower rates. Scott Grauer will now give you a bit more detail on the Wealth Management business. Scott?
Scott B. Grauer: Thanks, Steve. I appreciate the opportunity to give more background on our Wealth Management business to investors. Wealth Management is a discipline that is deeply rigid in our culture here at BOK Financial. We first enter the Trust business in 1918 to serve the old man of the day and their families who are plentiful in Oklahoma at that time. We’ve grown significantly over that last 100-year period and today, we have more than $61 billion in assets under management or custody that includes $32.7 billion in fiduciary assets. We trade more than $1 trillion of securities annually and have over 80 employees within the business. Our sources of revenue are nicely diversified as indicated by the chart at the bottom of slide 14. We provide a wide range of Wealth Management offerings as demonstrated by the chart on Slide 15. We also have a number of highly differentiated niche businesses within the group. Our revenue is split between two line items on the P&L. the first being brokerage and trading revenue, this captures four main operations: fixed income securities trading, our derivatives business, which includes primarily foreign currency and energy hedging for customers, retail and institutional brokerage and finally investment banking. After a slow start to the year, in the first quarter, we saw strength in these businesses in the second quarter with the shining star being the investment banking group. We have expertise in municipal tax exempt deals, in particular in Texas school bond issues and we closed a number of those transactions in the second quarter. Within the corporate investment banking business, we also had expertise in energy deals, and likewise, had a second quarter that was very strong. Most encouragingly, the pipeline in investment banking is very robust. So we feel good about this business as we enter the balance of the year. The trading business improved in the second quarter, as volatility in the markets spurred additional activity within our clients. Brokerage fees grew along with a pickup in the market during the second quarter. The one area that’s still lagging a bit is derivative fees and commissions. The sequential increase was largely driven by recoveries from Lehman and MF Global bankruptcies. But in general, hedging is fairly muted, especially with our energy customers. Because from much of 2014 to-date, the future’s market for energy prices has been lower than the current spot market price. The trust business likewise had a great second quarter with 14.9% sequential growth, and 19.1% year-over-year growth. The trust business is strong cross all of our geographies of business lines and the recent announcement of BNY Mellon is showing its corporate trust business has begun the few additional new business activity for BOK Financial. The GTRUST and MBM acquisitions also contributed just under $2 million of revenue in the second quarter. I hope that this gives you a good picture of the diversity and strength of our Wealth Management business. The bottom line is that this is a differentiated area of expertise for BOK Financial. And right now, we are driving good results and the balance of the year looks strong. With that, I’ll pass the call to Steven Nell who will cover the financial results in greater detail. Steven?
Steven E. Nell: Thanks, Scott and good morning, everyone. I’ll highlight a few items from the 2014 second quarter financial results, and then describe how we see the remainder of the year. As Steve noted, we earned $75.9 million in the quarter or $1.10 per share, which is essentially flat from the first quarter of 2014. But normalizing out, some of the unusual items in the first quarter, we had double-digit sequential growth in net income. We’re executing our plan to rebalance our earning assets in 2014 and the healthy loan growth as Steve just discussed is helping to enhance net interest revenue and net interest margin, while we plan for a rising rate environment in 2015. We are seeing strong revenue growth from the fee generating businesses and record revenue from a number of them. We did see expense growth in the second quarter, largely from the regulatory, compliance and risk management imitatives that we’ve discussed, but the revenue growth is helping to offset those headwinds, also a very good quarter for the bank. Net interest revenue was $166.1 million in the quarter, compared to $162.6 million in the first quarter. Loan growth was the big contributor here, as well as one additional day in the second quarter versus the first quarter. Overall net interest margin likewise expanded due to the improving earning asset mix. Fees and commission were $164.1 million in the quarter, up 16.5%, compared to $140.9 million in the first quarter. As Steve noted several lines of business delivered record revenues in the second quarter. From an expense standpoint, we’ve discussed the investment. we are making in risk management and compliance in our previous conference call and this continues in the second quarter. Personnel expenses were $123.7 million, in line with our expectations for the quarter. The GTRUST and MBM acquisitions added approximately $1.1 million to personnel expense. The increase in business promotion was largely tied to seasonality and the higher level of revenues reported in the second quarter, which impacted variable expenses. Professional fees and services were elevated due to some outsourcing activities in the mortgage business, as well as the compliance related activity. Net occupancy and equipment was impacted by the build out of our risk management compliance functions, as well as growth in our Wealth Management line of business. The $1.9 million increase in data processing and communication was primarily related to higher sales levels in our TransFund business. Mortgage banking costs increased $4.3 million sequentially during the quarter; approximately $1.3 million of this increase was due to the first quarter release of reserves, related to an acquired mortgage loan servicing portfolio. So the normalized sequential increase is closer to $3 million, primarily due to an increase in reserves related to our growing loan servicing portfolio. Turning to the balance sheet, the securities portfolio was $9.7 billion at June 30, compared to $9.9 billion at March 31, the amortized cost of this portfolio decreased $305 million from March 31. Our current expectation is to reduce the portfolio in total by roughly $1.2 billion over the 12 months of 2014. Deposits continue to increase. Average deposits were up $262 million over the previous quarter and period-end deposits increased by $182 million. The corporation remains extremely well capitalized. the company and its subsidiary bank exceeded the regulatory defined, or definition, a well capitalized at June 30, 2014 with a Tier 1 capital ratio up 13.63%, total capital ratio up 15.38% and leverage ratio up 10.26%. BOK Financial’s Tier 1 common equity ratio based on existing Basel I standards was 13.46%, as of June 30, 2014, and based on our interpretation of the new capital rules, our estimated Tier 1 common equity ratio would be approximately 12.35%, nearly 535 basis points above the 7% regulatory threshold. Credit quality continues to improve from its already foreseen levels. the allowance for credit losses was 1.42%, the period-end loans and represented 197% of non-accrual loans. Non-performing assets excluding those guaranteed by government agencies were 1.09% of period-end loans and repossessed assets and we recorded net recoveries for the third consecutive quarter. With the revenue growth, our efficiency ratio improved this quarter to 63.6%, which on a normalized basis is the best it’s been in over a year. We paid a regular quarterly cash dividend of $0.40 per share, or $28 million in the second quarter, and the board of directors approved the quarterly dividend of $0.40 per share payable on, or about august 29, 2014 to shareholders of record on august 15, 2014. Okay. now let me spend a little time, talking about how we see the balance of the year unfolding. During six months of the year, period-end annualized loan growth is 10% at the top of our expected range. accordingly with the strength, we’ve seen in our pipelines across the business, we are now calling for 2014 loan growth in the low double-digits. Net interest margin has stabilized especially with the shift in earning assets to loans from securities. that said, the competitive market being what it is, we wouldn’t be surprised to see 1 basis point or 2 basis point of net interest margin pressure from the loan portfolio. We expect continued reduction of the securities portfolio; offset by growth from the loan portfolio, and as noted, expect to reduce the securities portfolio by $1.2 billion over the full year. Net of all these factors, we expect net interest revenue to be relatively flat for the balance of the year. Fee-generating businesses all accelerated significantly in the second quarter. It may be difficult to replicate the outstanding sequential growth that we saw in the second quarter, but as noted earlier, our line of business managers feel pretty confident about the balance of the year. Note that the mortgage business benefited from seasonality in the second quarter, and probably won’t grow after this revenue level on a sequential basis, which is the favorable year-over-year comparables in the third quarter and the fourth quarter. Second quarter level of expenses should approximate the levels of the third and fourth quarter, with perhaps, a bit more expense built around the risk management and compliance. And lastly, we expect continued loan growth to reduce the likelihood of any release of loan loss reserves. in fact, we will likely start building reserves again, in 2015. With that, we’ll give you a chance to ask any questions you may have. so operator, can you please compile the question-and-answer queue.
Operator: Ladies and gentlemen, at this time, we’ll begin the question-and-answer session. (Operator Instructions) Our first question comes from Jennifer Demba from SunTrust Robinson Humphrey. please go ahead with your question.
Jennifer Demba – SunTrust Robinson Humphrey: Thank you. good morning.
Steven G. Bradshaw: Good morning, Jennifer.
Jennifer Demba – SunTrust Robinson Humphrey: It sounds like you are coming close to the expense run rate you’re going to have for compliance and risk management investments. just wondering if you could give us a little color on what inning, you see yourself in this kind of cycle.
Steven E. Nell: Yes. I think you’re right. We have – this is Steven Nell. We’re fully staffed, we believe in the risk management and the compliance activities at the moment. we are building some systems to support various components of risk management and the compliance, and not all of those systems are fully functional in the sense that they’re not being amortized at this point. So you get it, you pick up a little bit of that in the future. And then there could be some additional professional fees out in the future, but I would say the majority of our build out of risk management and compliance is complete.
Jennifer Demba – SunTrust Robinson Humphrey: And does that all include AML/BSA compliance, Steven, we’ve seen a lot of companies hit with specific orders regarding that topic recently.
Steven G. Bradshaw: Some of our expenditures yes, are in the BSA/AML systems as well as personnel and in another components of risk management as well as audit; we build out some capability in our audit functions as well.
Jennifer Demba – SunTrust Robinson Humphrey: Thank you very much.
Operator: Our next question comes from Michael Rose from Raymond James. Please go ahead with your question.
Michael Rose – Raymond James & Associates, Inc.: Hey, good morning guys. How are you?
Steven G. Bradshaw: Good morning.
Michael Rose – Raymond James & Associates, Inc.: And just wanted to get a little color on this quarters energy growth that was pretty strong, but a lot of your peers saw elevated pay down activity. So I just wanted to see maybe if you can talk to the level of pay downs this quarter, what’s your pipeline looks like in that business as we move into the second half and if you hired any vendors in that area? Thanks.
Steven G. Bradshaw: Yes, this is Steve Bradshaw, I wouldn’t attributed to any new hires, we were pleased to see growth there, it’s been a while I think maybe six-day quarter since we’ve seen growth on the energy side. For us we just saw some maturation to serve our relationships were they’ve been acquiring property sets and acquiring teams to be able to increase our exploration activities and that tell us the funding increase. And from our perspective we see more of that ahead of us, but it’s a choppy segment, there is still significant money coming in from the capital markets and another sources. So I don’t think we would suggest that we’ve necessarily turn to corner of that we would see sustained growth there, but we were encouraged by what we saw in the second quarter.
Michael Rose – Raymond James & Associates, Inc.: Okay. That’s outlook. And then just moving to the securities portfolio you guys said you are going to fund loan growth over the next couple of quarters with further drive down of the securities portfolio. How should we think about the securities portfolio as we move into 2015 and are you doing some of this to enhance your asset longevity? Thanks.
Steven E. Nell:
Michael Rose – Raymond James & Associates, Inc.: Okay, great. Thanks for taking my questions.
Operator: Our next question comes from Ken Zerbe from Morgan Stanley. Please go ahead with your question.
Ken Zerbe – Morgan Stanley & Co. LLC: Okay, thanks. I guess first question in terms of the fee income, it looks like this quarter obviously had a lot of very positive things happening in it between the investment – the investment banking and the mortgage banking. I mean it seems your guys saying that yes, everything was really; really good this quarter and it will continue to get better. And I’m just trying to make sure that we can accurately or perfectly count on things like investment banking getting, holding these levels and getting better. And mortgage banking, which I think you set stage with these levels. It seems like there should be a little more volatility and I guess I’m surprised that it continues to go up. How much confidence you guys have that fees have actually raised from the second quarter level?
Steven G. Bradshaw: Hi, Ken. This is Steve Bradshaw. Let me – here on the mortgage side and then I’ll let Scott Grauer to talk a little bit about his view of brokerage and trading in investment banking. From a mortgage perspective, we were able to maintain a lot of our origination capabilities. If you look kind of year-over-year, we were down I think 18% first half of this year, versus first half of last year. And it’s because we expanded our capabilities in correspondent and also our Home Direct channel. We didn’t have Home Direct a year ago at this point. So we’ve been able to spend the time, I think better than most in terms of that production decline year-over-year. And our margins certainly have declined and the mix – some of that related to the mix, you’re not rewarded nearly as well in the consumer direct market as you are retail origination. But from our standpoint, the pipelines look good, continuing out through the summer. We would expect some seasonality, we would expect some decline in production as we kind of head towards the fourth quarter, that would change obviously if we saw a significant decline in mortgage rates and we got below 4% again. But for us, I think we’ll see the ability to maintain production. We may see a little bit of pullback in terms of revenue just because that production will be more favored towards correspondent that it will be retail. But I think our goal as you know was to build multiple channels inside mortgage, so that we could reduce, can’t eliminate, but reduce the volatility that comes from that channel, and I think second quarter is probably a pretty good example of that. Let me let Scott talk a little bit about the IB business and kind of what you think as we go forward. Scott?
Scott B. Grauer: Sure. Thanks, Steve. Ken, this is Scott. A couple of things that I think I know. First of all, when you look at the improvement quarter-to-quarter, we had a relatively slow start on some of those business lines both the trading and brokerage, and the investment banking in January. So we really returned more to our anticipated rate of activity in Q2. Our investment banking activity was a solid mix of both energy deals as well as our municipal activity primarily in our Texas market, which we see very good pipeline in that activity. So we are feeling good about that. In terms of the trading activity, we’ve seen a strong pull through on both our mortgage TDA activity with good momentum developing there as well as the increase in volatility in the market where we’ve seen a lot of our institutional clients or financial institutions that have began to reposition their portfolios, which has created a pickup in activity as well, which is remaining pretty consistent at least at this point.
Ken Zerbe – Morgan Stanley & Co. LLC: Okay, that helps. And then, just other question more theoretically, we heard one of the other management teams comment about M&A. How regular you are getting much more balance, I know you guys look at smaller M&A from time-to-time. Have you guys seen a similar change in regulatory tone or is it just completely different things that you are looking at?
Steven G. Bradshaw: Yes. This is Bradshaw. I don’t know that we would suggest that we’ve seen a real change in the regulatory view. I think from our standpoint, we expect to be successful. In M&A and we are actively engaged especially as we’re at opportunities throughout our footprint. So from our standpoint it’s probably a bit of a higher priority for us today than it might have been in the past, but I think we’ve a lot of strong dialogue with our regulators, they understand our strategy there. So we want to make sure the communication is really strong, but I think we’re really leading that. I wouldn’t suggest that there has been a significant tone change from that perspective.
Ken Zerbe – Morgan Stanley & Co. LLC: Got it. Okay. Thank you very much.
Steven G. Bradshaw: Thanks, Ken.
Operator: Our next question comes from Matt Olney from Stephens. Please go ahead with your question.
Matthew Olney – Stephens Inc.: Hey, thanks, good morning, guys. I want to ask about the security deals moved up modestly anything notable behind this upward move?
Steven G. Bradshaw: No, not really. We are not changing the type of securities we are buying. We are sticking to fairly explain our structures in residential mortgage MBS, we are buying some commercial mortgage-backed securities, but we’re not a – reaching out, in terms of duration or anything. Most of our cash flows reinvesting are right around 2%, and so when you compare that to the portfolio yields, it’s averaging up just a bit. I think it had about 2 basis point improvement to our margin for this particular quarter. On the flip side the loan yields were down, they impacted the margin about 2 basis points go in the other directions, so kind of canceled each other out. And then the overall mix of the balance sheet remixing more towards loans where security is impacted for the margin positively. So you had a nice pickup in net interest margin of about 4 basis points for the quarter.
Matthew Olney – Stephens Inc.: And Steven I guess, the forward-looking commentary suggested that the margin could be a little bit soft in next quarter to do the loan yields. What about as for as the net interest income, it seems like last quarter you talked about that being a little bit flat to down in 2014 versus 2013, does that still hold true?
Steven G. Bradshaw: I think it does, I mean I feel like flat perhaps down just a little bit I really think flat, in terms of net interest revenue dollars we’re getting really good solid loan growth. I think we said last quarter mid to upper single-digit growth. I think we feel comfortable now that we’re right at the edge there of double-digit growth and can hopefully sustain that in the next couple of quarters in net order held, maintain a relatively flat net interest revenue dollar amount for the next couple of quarters.
Matthew Olney – Stephens Inc.: Okay. Thanks guys.
Operator: Our next question comes from John Moran from Macquarie Capital. Please go ahead with your question.
John V. Moran – Macquarie Capital Inc.: Hey guys.
Steven G. Bradshaw: Hey, John.
John V. Moran – Macquarie Capital Inc.: And just a real quick clarification I want to make sure that I heard correctly that you guys think that it start to build to loan loss reserves in 2015 given the strong growth that you are seeing on the loan side of things?
Steven G. Bradshaw: Perhaps, we would I mean of course we’ve had three straight quarters of recoveries, which we know that’s not going to be able to sustain that long-term with 10% roughly the loan growth moving in for the rest of the year, and hopefully that will continue some in 2015. That is going to become a point, where we’ll need to begin to provide, I don’t have any idea that would be in 2015, but that’s certainly is something that we’ll be looking at when we put our budgets together this fall.
John V. Moran – Macquarie Capital Inc.: Got it, got it. So, yes, I mean it would make sense that it – at some point with that kind of growth you are going to have to start putting up per visit again, but that will – reserves could actually be building in terms of percentage of loans, or would you expect still some release in 2015, just given where, I mean overall…
Steven E. Nell: I mean we’re at – we are at 1.43% loan loss reserve to loans. That’s a fairly healthy loan and comparatively. And I would say that stays fairly stable for the foreseeable future.
John V. Moran – Macquarie Capital Inc.: Got it, yes, yes. I mean you say that’s a super-healthy level when you have picked up against 2 basis points of charge-offs annualized last year and that recovery in the first half of 2014.
Steven E. Nell: Yes.
John V. Moran – Macquarie Capital Inc.: Yes, okay, Thanks, that’s helpful. The other thing, forgive me if I missed some commentary on this in the prepared remarks, but just if you could comment real quick on behavior in the deposit franchise, I think it looks like the commercial projects were a bunch and wealth management and consumer was down, are you seeing any kind of changes in behavior there? And what do you think is sort of driving that?
Steven E. Nell: Well, really the – on the commercial side, that increase is a really continuation of what we’ve seen for the last year or so. we’ve had build up in cash from our commercial clients. The consumer and wealth declined, some of that could be seasonality in terms of the tax season and other things. And I think Scott has got a comment perhaps too on that.
Scott B. Grauer: Yes, I think. As Steve mentioned, the – there is a little bit of a tax season impact there, but we are beginning to see a little bit of the capitulation in terms of the time that we’ve had our balances on the deposit side at historically low rates, and a little bit of a spike up in investor confidence, in terms of the performance of the equity markets, which has caused a little bit of the shift there. so I think those two combined have – are probably what resulted in that. and then we also had a couple of fairly significant liquidity events that we’ve moved pretty significant relationships into the market gradually.
John V. Moran – Macquarie Capital Inc.: Got it. That’s helpful, guys. thanks for taking the questions.
Steven E. Nell: Sure.
Scott B. Grauer: You bet. Operator (Operator Instructions) our next question comes from Brett Rabatin from Sterne Agee. please go ahead with your question.
Brett Rabatin – Sterne, Agee & Leach, Inc.: Hi, good morning.
Steven E. Nell: Good morning.
Brett Rabatin – Sterne, Agee & Leach, Inc.: I was hoping to get a little color around; I know you started a little with the healthcare business. I was hoping to get – maybe a little color on, or an update on these initiatives, Steve you’ve put in place to invigorate the growth and kind of put your stamp on the growth of the franchise going forward?
Steven E. Nell: Sure. yes the – to your point, we did create that as a distinct line of business really last fall and we’ve been continuing to deploy, and in some cases, redeploy our relationship management staff across the footprint. So we have a bit more of an even coverage now across all of BOKF. I think the healthcare team has – they’ve also contributed some of this deposit growth as well. They’ve got a good success with establishing those relationships and their loan pipeline is strong and they’re optimistic going forward. We have a little bit of a decline quarter versus quarter, but it was really attributable to pay downs right at the end of the quarter, especially in our Texas market, and it’s just a recognition of the fact that we had some big relationships. One was an M&A transaction; one was a flip into permanent financing, or a financing in the permanent market and a couple of other issues as well. So from our standpoint, we’re more concerned or disappointed about the performance between Q2 and Q1, because we can see the pipeline and I think it’s working well at this point. We’ve really developed a lot of internal expertise in healthcare understand the risks in the underwriting concerns that you have especially on a state-by-state basis. And I’m pleased really with where we stand today, just kind of nine months into that initiative.
Brett Rabatin – Sterne, Agee & Leach, Inc.: Okay. That’s good color. And the other thing I was curious about was, if I got it right, it sounds like, you might have some additional pressure on the loan portfolio going forward and 391 in 2Q. I guess I was curious just to hear, how much more pressure you think you might have in that portfolio originations that much lower than the current portfolio, then there’s any of that and mix shift change type issue?
Scott B. Grauer: Probably no mix shift changed, but it is competitive in the market, all of our markets on the commercial side, but I think we did see some stabilization there. I don’t think the pressure is quite as great as what we saw in some of the previous quarters. If you look back over the past year or so, we’ve had loan compressions; spread compression, as little as 6 basis points, all away to 12 basis points, when you go quarter-to-quarter and this particular quarter was about 4 basis points. So I do think that the pressure is there, but I believe it’s slowing at some. And so – but I still think the outlook is that they’ll see that pressure in the third and fourth quarter, just perhaps not as gradable level.
Steven G. Bradshaw: Yes. And I think there was one bit of a mix shift that occurred and that we saw some pretty strong growth coming out of our private banking group, and typically those are going to be more thinly priced credits, and because of the kind of collateral and that work that you’ve got behind those borrowers. so that contributed a little bit to it as well.
Brett Rabatin – Sterne, Agee & Leach, Inc.: Okay. Great thanks for all the color.
Operator: And our next question comes from Gary Tenner from D.A. Davidson. Please go ahead with your question.
Gary P. Tenner – D. A. Davidson & Co.: Thanks, good morning. my question on healthcare certainly was answered. so I’ll just ask a quick question. Steven, I think you had mentioned as you’re going through the expense line items, a more normalized level from mortgage banking costs, but I didn’t hear that detail, I wonder if you could just kind of run through that real quickly?
Steven E. Nell: Yes. the mortgage banking costs didn’t increase about $4.3 million from the previous quarter, $1.3 million of that is you can recall on the first quarter, we’ve reversed hold back reserves. And so that lowered the first quarter of expenses, $1.3 compared to this quarter. We did take a pretty hard look at some of the exposure in our servicing area and built a few reserves related to loss mitigation activities, or loan modification activities, and foreclosure activities. And so we built our reserve just slightly in the servicing area, which I think a bit of that would be catch up reserves from previous quarters, but I think the other element is, we increased the mortgage amortization, mortgage servicing right, amortization went up about $1 million to $1.5 million, just because we got a larger servicing book. So I would say that the majority of that mortgage expenses and leased at the level of revenue continues as it is, will be about that level, that’s pretty good run rate, perhaps with maybe $1 million or so of build up of reserves that won’t recur.
Gary P. Tenner – D. A. Davidson & Co.: Okay. thanks for that detail. Appreciate it.
Operator: And ladies and gentlemen, at this time, I’m showing no additional questions. I’d like to turn the conference call back over to management for any closing remarks.
Joseph Crivelli: Well, thanks everyone for joining us. if you have any follow-up questions after the call, feel free to give me a call at 918-595-3027, or e-mail me at jcrivelli@bokf.com and we’ll be happy to circle back with you. Thanks for joining and we’ll talk to you soon.
Operator: Ladies and gentlemen, that does conclude today’s conference call with you. thank you for attending. you may now disconnect your telephone lines.